Operator: My name is Jason, and I will be your conference operator. I would like to welcome everyone to Oceaneering’s Fourth Quarter and Full Year 2020 Earnings Conference Call. [Operator Instructions] With that, I will now turn the call over to Mark Peterson, Oceaneering’s Vice President of Corporate Development and Investor Relations. Please go ahead, sir.
Mark Peterson: Thank you, Jason. Good morning, and welcome to everyone to Oceaneering’s fourth quarter and full 2020 earnings conference call. Today’s call is being webcast, and a replay will be available on Oceaneering’s website. With me on the call today are Rod Larson, President and Chief Executive Officer, who will be providing our prepared comments; and Alan Curtis, Senior Vice President and Chief Financial Officer. Before we begin, I would just like to remind participants that statements we make during the course of this call regarding our future financial performance, business strategy, plans for future operations and industry conditions are forward-looking statements made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Our comments today are also includes non-GAAP financial measures. Additional details and reconciliations to the most directly comparable GAAP financial measures can be found in our fourth quarter press release. We welcome your questions after the prepared statements. I will now turn the call over to Rod.
Rod Larson: Good morning, and thanks for joining the call today. There’s an old saying that says, what doesn’t kill you, makes you stronger. And after the events of last year, I feel Oceaneering is stronger on many fronts. And I’m very proud of what we accomplished in 2020. With all the challenges presented by the global COVID pandemic, including the crude oil demand destruction and resulting price collapse, and the many challenges faced in protecting our workforce, while still satisfying our customer obligations, Oceaneering still delivered improved consolidated adjusted operating results, and adjusted EBITDA as compared to the prior year. We also generated meaningful free cash flow with our cash balance increasing by $78 million from $374 million at December 31, 2019 to $452 million at December 31, 2020. Today I’ll focus my comments on our performance for the fourth quarter and full year 2020, our market outlook for 2021, Oceaneering’s consolidated 2021 outlook, including our expectation to generate positive free cash flow in excess of the amount generated in 2020, and EBITDA in the range of $160 million to $210 million and our business segment outlook for the full year and first quarter of 2021. Now moving to our results. For the fourth quarter of 2020, we reported a net loss of $25 million or $0.25 per share on revenue of $424 million. These results include the impact of $9.8 million for pretax adjustments associated with asset impairments and write-offs, restructuring and other expenses and foreign exchange losses recognized during the quarter and $9.6 million of discreet tax adjustments. Adjusted net income was $1.8 million or $0.02 per share. We were pleased that our consolidated fourth quarter adjusted earnings before interest taxes, depreciation and amortization or adjusted EBITDA was $47.1 million and was sequentially higher than the third quarter 2020, and exceeded both our guidance and consensus estimates. Each of our five operating segments recorded sequential improvement and adjusted operating income and adjusted EBITDA, despite lower revenue in three out of the five segments. Fourth quarter 2020 consolidated adjusted operating income of $9.6 million was the best quarterly performance in 2020 and $4 million higher than the third quarter. We generated $104 million of cash from operating activities. And after deducting $15 million in capital expenditures, our free cash flow was $89 million for the quarter. As a result of good operating cash flow, working capital efficiencies and capital expenditure discipline, our cash position increased by $93.2 million during the fourth quarter of 2020. As of December 31, 2020, our cash balance stood at $452 million. Now let’s look at our business operations by segment for the fourth quarter of 2020. Subsea Robotics or SSR adjusted operating income improved sequentially on lower revenue. Adjusted fourth quarter operating results, included recognition of approximately $3 million of cost structure improvements achieved throughout 2020. Consequently, our SSR quarterly adjusted EBITDA margin of 33% was better than expected up from the 31% achieved during the third quarter of 2020 and consistent with the margin achieved during the first nine months of 2020. The revenue split between our remotely operated vehicle or ROV business and our combined tooling and survey businesses as a percentage of our total SSR revenue was 80% and 20% respectively compared to 82% and 18% split in the prior quarter. As we had anticipated ROV days on hire declined as compared to the third quarter due to expected lower seasonal activity. Our fleet utilization for the fourth quarter was 54% down from 59% in the third quarter and our days on hire declined for both drill support and vessel-based services. Average ROV revenue per day on hire of $7,325 was 1% higher as compared to the third quarter. Day’s on hire we’re 12,456 in the fourth quarter as compared to 13,601 in the third quarter. We ended the quarter and the year just as we began with a fleet count of 250 ROV systems. Our fourth quarter fleet use was 60% in drill support and 40% for vessel-based activity as compared to 56% and 44% respectively during the third quarter. At the end of December, we had ROV contracts on 75 of the 129 floating rigs under contract or 58%, a slight market share increase from September 30, 2020 when we had ROV contracts on 76 of the 133 floating rigs under contract or 57%. Subject to quarterly variances, we continue to expect our drills support market share to generally approximate 60%. Turning to manufactured products. Our fourth quarter 2020 adjusted operating income improved from the third quarter on lower segment revenue, which was adversely affected by supplier related delays in our energy products businesses. Adjusted operating income margin increased to 9% in the fourth quarter of 2020 from 5% in the third quarter of 2020, due primarily to favorable contract closeouts and supply chain savings. The COVID-19 pandemic continued to dampen demand for our mobility solutions products during the fourth quarter of 2020. Our manufactured products backlog at December 31, 2020 was $266 million compared to our September 30, 2020 backlog of $318 million. Our book to bill ratio was 0.4 for the full year of 2020, as compared with the trailing 12 month book to bill a 0.5 at September 30, 2020. Offshore Projects Group or OPG, fourth quarter 2020 adjusted operating income improved sequentially of lower revenue. Revenue declined less than expected as the Gulf of Mexico experienced higher amounts of installation work and intervention maintenance and repair activities with customers having pushed work into the fourth quarter due to the several third quarter 2020 hurricanes. The sequential increase in adjusted operating income was due to better activity-based pricing in the Gulf of Mexico and continued costs improvement. During the fourth quarter, engineering work continued on the Angola riserless light well intervention project. For Integrity Management and Digital Solutions, or IMDS, fourth quarter 2020 adjusted operating income was higher than third quarter of 2020 and a marginal increase in revenue. The improvement in adjusted operating income was largely driven by more effective use of personnel, as we continue to transform how and where work is performed. Our Aerospace and Defense Technologies or ADTech fourth quarter 2020 adjusted operating income improved from the third quarter on higher revenue. Adjusted operating income margin rose as a result of project mix and better-than-expected performance in our Subsea Defense Technologies business. Unallocated expenses were higher primarily due to increased incentive compensation accruals related to better fourth quarter operating and financial performance. Now, I’ll turn my focus to our year-over-year results of 2020 compared to 2019. For the full year 2020, Oceaneering reported a net loss of $497 million or $5.01 per share on revenue of $1.8 billion. Adjusted net loss was $26.5 million or $0.27 per share reflecting the impact of $481 million of pretax adjustments, primarily $344 million associated with goodwill impairment and $102 million of asset impairments. Right now it’s in write-offs recognized during the year. This compared to a 2019 net loss of $348 million or $3.52 per share on revenue of $2 billion and adjusted net loss of $82.6 million or $0.84 per share. For the year, activity levels and operating performance within our energy segments were lower than originally projected for 2020. The COVID-19 pandemic negatively impacted operator investments in oil and gas projects due to a decline in crude oil demand and pricing and entertainment business spending due to limited theme park attendants. Activity levels and performance within our ADTech segment met expectations for the year. Compared to 2019, our 2020 consolidated revenue declined 11% to $1.8 billion with revenue decreases in each of our four energy segments being partially offset by the revenue increase in ADTech. ADTech’s contribution to our consolidated results continues to grow representing 19% of consolidated revenue in 2020 as compared to 16% in 2019. Despite the headwinds of lower activity in our energy segments consolidated 2020 adjusted operating results and adjusted EBITDA improved by $59.6 million and $19.5 million respectively, led by our manufactured products and ADTech segments. In 2020, each of our operating segments with the exception of OPG contributed positive adjusted operating income, and all our operating segments contributed positive adjusted EBITDA. 2020 operating performance benefited considerably from the cost improvement measures recognized during the year. We generated $137 million in cash flow from operations and invested $61 million in capital expenditures, resulting in free cash flow of $76 million. We ended the year with $452 million in cash. In 2020, we continue to adapt to the challenges posed in our markets as we dealt with the significant challenges presented by the COVID-19 pandemic by establishing and implementing protocols that have allowed us to protect personnel and customers, while delivering on our promises. We implemented a cost and process improvement program and enhanced the performance of our businesses. This program targeted the removal of $125 million to $160 million of costs, including depreciation. Some examples of these efforts are efficiency enabling projects, which some may describe as process improvements, rationalizing facilities, restructuring our operating segments to better leverage common attributes, thereby enabling improved productivity and how and where work is performed, initiating supply chain savings and eliminating nonproductive assets. Through the end of 2020, we’ve implemented improvements that put us on the high end of that range. The majority of these reductions are structural in nature and are expected to benefit our results in 2021 and beyond. We maintained our commitment to capital discipline by reducing capital expenditures to $61 million as compared to $148 million in 2019 and we maintain focus on our core values. We’re pleased with the notable achievements accomplished during 2020. We achieved significant improvement in our IMDS business with adjusted operating results, improving by almost $10 million as compared to 2019. With over $250 million in contract awards during the fourth quarter of 2020 and early 2021, 45% of which is incremental business, this segment is positioned for growth in 2021. Our Subsea Robotics business, a recognized leader in world class ROV services secured more than $225 million of contracts during the fourth quarter of 2020. Our ADTech business met its original performance targets created at the beginning of 2020 before the COVID-19 pandemic. The business also recorded several important incremental contract wins, including partnering with Dynetics to support their design of the Human Lunar Landing System for NASA and a contract to operate and maintain the U.S. Navy Submarine Rescue systems worth up to $119 million assuming annual renewals over a five-year period. We maintained our commitment and focus on safety. The team remained very focused on our life-saving rules, identifying high hazard tasks and developing engineered solutions to mitigate risks. Our total recordable incident rate or TRIR of 0.3% for 2020 is a record low for Oceaneering. The following financial metrics improved in 2020. EBITDA of $184 million surpassed the $165 million generated in 2019. Positive free cash flow of $76 million surpassed the $10 million generated in 2019. Cash increased to $452 million and consolidated adjusted EBITDA margin of 10% surpassed the 8% margin achieved in 2019, despite an 11% decrease in revenue. We continue to make good progress on our sustainability efforts or environmental, social, and governance initiatives. From an environmental perspective, we continue to advance our capabilities as a technology delivery company to help our customers meet their reduced emission goals. We continue the development of clean energy technologies to assist our customers in mitigating carbon emissions. These initiatives include our Liberty, Isurus and Freedom ROVs. We also continue implementing measures to reduce the amount of greenhouse gases emitted from our own operations, including facility consolidations and our employee remote work options, as well as increased recycling efforts. From a social perspective, we continue to explore new ways to make positive contributions in the communities where we operate and to increase workforce diversity within the company. During the year, we created Diversity and Inclusion Council to focus on implementing new initiatives that will further diversify our global workforce. We are leveraging Employee Resource Groups or ERGs, including Oceaneering women’s network and our recently launched Oceaneering veterans’ network to foster a diverse and inclusive workplace. From a governance perspective, we are taking action at the board level as well. We recently announced the addition of two new Board Members, which expands the diversity of the board while adding new skill sets and perspectives that are crucial as Oceaneering focuses on energy transition strategies. We also formalized our ESG reporting through our boards nominating and Corporate Governance Committee. During 2020, Oceaneering filed its first sustainability report, which is posted on our website using the disclosure methodology outlined by the Sustainability Accounting Standards Board or SASB. Oceaneering continues to hold an ESG index A rating with MSCI. Now turning to our 2021 outlook for the markets we serve. Coming into the year, most analysts and research pointed to continued headwinds for the offshore oil and gas market due to the low level of project sanctioning in 2020 and continued uncertainty surrounding COVID-19. With the OpEx plus actions taken at the very beginning of 2021 and growing optimism associated with numerous vaccine approvals, many analysts and energy researchers are now forecasting Brent pricing to stabilize in the $55 to $60 per barrel range for 2021 and longer term pricing to be in the $50 to $70 per barrel range. We expect Brent pricing in the $55 to $65 per barrel range will support reasonable levels of IMR activity in 2021. Similarly, we believe that longer term Brent pricing forecast of $50 to $70 per barrel will support increased offshore project sanctioning activity in 2021. Analysts and research service projections for other key metrics we track also support these expectations. Analyst data suggests that the floating rig count has stabilized and throughout 2021 will remain close to the year end 2020 levels of approximately 130 contracted rigs. There were 123 Tree Awards in 2020, and raise that forecasts a modest recovery to around 200 in 2021 and back into the 300 range in 2022, raise that also forecast Tree Installations of 273 in 2021, which approaches the 2020 total of 299. Also, according to raise did offer projects with an aggregate value of approximately $46 billion were sanctioned in 2020, a 53% decrease from 2019. Sanctioning levels are expected to be increase in 2021 to around $55 billion and return to 2019 levels of around $100 billion in 2022. Raise that forecast global installed offshore wind capacity to increase by 11.8 gigawatts by in 2021, 37% over 2020. Our entertainment business will continue to innovate as pent up demand is expected to grow theme park attendance to pre-pandemic levels by 2022. And finally, government related markets we serve are expected to remain relatively stable with continued modest growth for the foreseeable future. Now to our 2021 consolidated outlook for Oceaneering. We anticipate our full year 2021 operations to yield positive free cash flow in excess of the amount generated in 2020 and the midpoint of our consolidated adjusted EBITDA range to approximate 2020 consolidated adjusted EBITDA. Based on year end 2020 backlog and anticipated order intake, we forecast generally flat consolidated revenue with higher revenue in AdTech and IMDS to offset substantially lower revenue from our manufactured product segment. We forecast relatively flat revenue in our SSR and OPG segments. These projections assume no significant incremental COVID-19 impacts and generally stable oil and gas prices. For the year, we anticipate generating $160 million to $210 million of adjusted EBITDA with positive operating income and adjusted EBITDA contributions from each of our operating segments. Apart from seasonality, we view pricing and margins in the current energy markets to be stable. We forecast improved annual operating results in our SSR, OPG, IMDS and AdTech segments and lower operating results in our manufactured products segment. Our liquidity position at the beginning of 2021 remains robust with $452 million of cash and an undrawn $500 million revolver available until October 2021, and thereafter $450 million available until January 2023. We expect to further strengthen this position in 2021 by generating positive free cash flow in excess of the amounts generated in 2020. As has been the case over the past several years, it is our intent to continue to strengthen our balance sheet, to ensure that we are well positioned to deal with our $500 million bond maturity in November 2024. For 2021, we expect our organic capital expenditures to total between $50 million and $70 million. This includes approximately $35 million to $40 million of maintenance capital expenditures, and $15 million to $30 million of growth capital expenditures. We continue to closely scrutinize our maintenance and growth capital expenditures focusing on opportunities that will provide near term revenue, cash flow, and return. We also continue to invest in new, more efficient technologies that will help our customers and meeting their goals to produce the cleanest safest barrels to help meet their carbon neutral goals. In 2021, interest expense, net of interest income is expected to be approximately $40 million and our cash tax payments are expected to be in the range of $35 million to $40 million. This includes taxes incurred in countries that impose tax on the basis of in-country revenue and bear no relationship to the profitability of such operations. These cash tax payments do not include the impact of approximately $28 million of CARES Act tax refunds expected to be received in 2021. Directionally in 2021 for our operations by segment, we expect for Subsea Robotics, our forecast for improved results is based on essentially flat ROV days on higher, minor shifts in geographic mix, and generally stable pricing. Results for tooling-based services are expected to be flat, with activity levels generally following ROV days on hire. Survey results are projected to improve on higher geoscience activity. We forecast adjusted EBITDA margins to be consistent with those achieved in 2020. For ROVs, we expect our 2020 service mix of 62% drill support and 38% vessel services to generally remain the same through 2021. Our overall ROV fleet utilization is expected to be in the mid to high 50% range for the year with higher seasonal activity during the second and third quarters. We expect to generally sustain our ROV market share in the 60% range for drill support. At the end of 2020, there were approximately 24 Oceaneering ROVs onboard 21 floating drilling rigs with contract terms expiring during the first six months of 2021. During that same period, we expect 28 of our ROVs on 24 floating rigs to begin new contracts. For manufactured products, we expect segment performance to decline primarily as a result of the decreased order intake in our energy businesses during 2020. We continue to closely monitor the impact of COVID-19 pandemic on our mobility solutions businesses, and currently expect to see marginally higher activity and contribution from these businesses in 2021. We forecast that our operating income margins will be in the low to mid-single-digit range for the year. For OPG, operating results are expected to improve in 2021 on generally stable offshore activity and margins comparable to the last half of 2020. Operating results and adjusted EBITDA are forecast to improve largely due to the efficiency and cost improvement measures implemented in 2020 and improved year-over-year contribution from our Angola riserless light well intervention campaign. Vessel day rates remain competitive but stable, and we expect to see opportunities for pricing improvements during periods of higher activity. We also anticipate reduced charter obligations and increased flexibility on third-party vessels and an overall improvement in fleet utilization. As has been the case over the last several years, this segment has the highest amount of speculative work incorporated in our guidance. For IMDS, results are forecast to improve on higher revenue, with the operating income margin averaging in the high-single digit range for the year. Good order intake at the end of 2020 is expected to begin benefiting the business in the second quarter of 2021. We will continue to focus on the effective use of personnel and transforming how and where work is performed. For ADTech, revenue is expected to be higher, producing improved results with operating income margins consistent with those achieved in 2020. Growth in this segment is expected to be broad-based, with revenue growth in each of our three government-focused businesses. For 2021, we anticipate unallocated expenses to average in the low to mid-$30 million range per quarter as we forecast higher accrual rates for projected short and long-term performance-based incentive compensation expense, as compared to 2020. For our first quarter 2021 outlook, we expect our first quarter 2021 adjusted EBITDA to be in the range of $45 million to $50 million on sequentially higher revenue. As compared to the fourth quarter of 2020, we anticipate higher revenue and relative flat operating results in our ADTech segment, lower activity in operating results, and our SSR and manufactured product segments. Higher revenue and operating results in our IMDS segment and in our OPG segment, operating results are forecast to improve on substantially higher revenue as we have commenced operations on the Angola riserless light well intervention project.  In closing, our focus continues to be generating free cash flow, maintaining our strong liquidity position, demonstrating meaningful progress in advancing our ESG and energy transition efforts and improving our returns by driving efficiencies and consistent performance throughout our organization, engaging with our customers to develop value-added solutions that increase their cash flow and remaining disciplined in our pricing decisions and capital deployment strategies. Finally, I thank our employees and management teams for their continued hard work in these very challenging times. As I stated in my opening remarks, I am very proud of what we accomplished in 2020 and I think Oceaneering is stronger on many fronts as we head into 2021. We appreciate everyone’s continued interest in Oceaneering, and we’ll now be happy to take any questions you may have.
Operator: [Operator Instructions] Your first question comes from the line of Sean Meakim from JPMorgan. Your line is open.
Sean Meakim: Thank you, good morning. Maybe just to start out in manufacturing products, but first I should say thank you for all the detailed guidance. So there’s a lot of granularity that you offered. To starting in manufactured product, I’d love to just get a little more detail on how you see awards in 2021, including umbilicals. Listen, I’m trying to get a sense for how much inbound do you need in 2021 to hit that margin target? Or do you have enough line of sight to get into that range, even if orders don’t pick up, maybe for oil at latter half of 2021?
Rod Larson: I put it this way, Sean, and thanks for the question. We’ve got the two biggest projects. We’re working on, we will run throughout the year. So that’s the lion’s share of what we’ve got in the plan. And then we do expect that we’ll be able to pick up some orders. We’re not overly aggressive with what’s built in the plan, but that there will be – have to have or will need to have some incoming in the first half of the year. But that’s across the board. That’s not just an umbilicals that’s in the even the some of the other connected hardware in the mobility solutions as well. And so we see some of that coming in all around the board. And as you know, I mean, some of those big projects in umbilicals are longer line of sight, so that’s not entirely what we got in the plan. I think we’ve edged out effectively.
Sean Meakim: Got it. Thank you for that. I think that makes sense. And then I think everyone’s trying to unpack these new energy markets and understand the value chains over the better. So things like offshore wind, could you maybe just talk about how you perceive differences in those markets compared to your traditional energy markets. Look, in terms of competitive dynamics, contracting terms, pricing, just how would you compare the two in terms of traditional end markets versus these new emerging ones that you’re pursuing?
Rod Larson: If you would’ve asked me that question, probably, three, four years ago, I would have told you that it’s a tough market. The pricing is a little bit harder to get. They contract a little harder than some of our oil field customers. I think number one, things have gotten better there. I think we’re starting to – we’re able to establish the value of uptime and new technology and a lot of things. So we’re able to place more technology into that market than we have in the past, and then establish longer-term relationships. So I think they were alert and to be fair, they were a little hesitant about, we will remain interested if there’s another pickup in oil and gas. So we built those relationships. We’ve turned them into something better. And in the meantime, oil and gas has gotten a little more challenging. So I think it’s really rebalanced quite a bit. And we would say that those are good projects to have now.
Alan Curtis: Yes. And I think, Rod, one other things I would add is just partnering with them in the development of the SSR vehicles and things of that nature to help them be more efficient in their operations. It’s been something we’ve been very proud of in the last 12 to 18 months and the uptake of that.
Sean Meakim: I appreciate that. Thanks.
Operator: Your next question comes from the line of Taylor Zurcher from Tudor, Pickering & Holt. Your line is open.
Taylor Zurcher: Thanks guys, and good morning. First question is just with respect to the 2021 guidance obviously a big range at the EBITDA line $160 million to $210 million. And I know we still got a ways to go before we close out 2021, but could you just help us think about kind of the probability of outcomes getting to that higher end of the guidance versus the lower end. And just really trying to get a sense of how confident you feel and get into the midpoint of that guidance about $185 million of EBITDA next year or this year?
Rod Larson: Sure. I think we feel pretty good because more of the news that’s happened most recently is really putting some confidence out there about a more stabilized commodity price and being in that range and I think more confidence about that range. So I think we feel good about say the midpoint and the upper end of the range that it certainly today, it is looking good. But it’s really, that range is going to be most strongly driven by the stability and the level of the commodity price. Because I think about, I would walk you through sort of the timing of these. If we’ve got a good near term commodity price, that’s first a lot of the IMR activity that we get those are quick turn projects. Those barrels are already behind pikes. So if we can help them produce more through their existing wells, they don’t need permits for that. Generally speaking, not like a drilling permit. So there’s more that we can do there, especially with a riserless intervention campaign. So that can happen fast drive that range up. Then maybe later in the year, we start to see more re-contracts get picked up, better utilization of the contracted rigs. So that helps on the upper end of the range. And then finally, you’ll get some FIDs in the door, getting enough confidence over the longer term that we’ve been stable for awhile at a better level. And that’s going to drive more in the manufactured products business too. So it’s all about that confidence that is by far the biggest number for us in this range.
Taylor Zurcher: Understood. And that’s helpful. And taking backing on one of Sean’s questions, in manufactured products, obviously that’s the segment that’s going to have the most acute headwinds in 2021. But based on the kind of order outlook you have in your plan today, do you have any confidence that at 2021 might represent the bottom for manufactured products, at least from an operating income perspective? Or is that a little bit too soon to call at this point?
Rod Larson: No, I think what – I just kind of refer back to what we were talking about. It certainly looks like when we look at the raise to data and others around project FIDs that 2020 was a low point. And so if we see those projects FIDs like so many are saying, start to increase, I think that we should see, I mean, we’re going to – we’re attract with FIDs and if they go up, then that’s going to be a good pro sharing as well. So that’s what’s out there in the market right now, as far as all the customer budgeting and the expectation. So I would kind of go with that. I think it looks like we should start to see that. And unfortunately, that business rate lags a little bit. So low FIDs in 2020 tend to have its effect in 2021, and improvement in 2021 will start to build in 2022 and beyond. So I think you’ve got it right.
Taylor Zurcher: Awesome. Well, thanks for the answers.
Operator: Your next question comes from the line of Mike Sabella from Bank of America. Your line is open.
Mike Sabella: I was wondering, if you could just circle back to the 1Q guide. I know there’s a lot of moving pieces here. The guide calls kind of higher revenue, flattish EBITDA quarter-over-quarter. Can you just kind of walk us through some of the moving pieces here? Are you seeing some costs come back into the system? Or is there anything else impacting 1Q? Or maybe some benefits that helped out 4Q?
Rod Larson: I would just say, first of all, you look at some of the things that we talked about already. And Alan will help me out here. But one of the things is the riserless campaign is a good part of the Q1 story. I’ll hit on your question about costs. We don’t see any real significant costs creep back in. I would point your attention to a little bit of – and I think it’s temporary, but a little bit of struggle getting people through the UK right now. Just with the impact of the new strains of COVID-19 that slowed down some of that. And it means people are in quarantine a little bit longer, but that’s not significant. I think most of the things we’re seeing, if they’re coming into the system, they’re temporary pieces. Overall, like we’ve got good control. And then, kind of in the background, we’ve still got – we’re still realizing more and more of the good work we did in the cost reductions in 2019 and 2020. So some of that still coming in. So I don’t think costs are really a big concern for us in Q1. Alan, any other comments that you’d add?
Alan Curtis: No. I think you hit the high points and main. OPG, certainly, as we’ve mobilized and are outworking on the riserless light well intervention campaign in Angola. One of the other stories I think we’ve talked about in the past is the drill pipe riser contracts that we had working for Petrobras in Brazil. All three systems are on contract beginning this quarter where we had two of them beginning of the middle of last year. So that’s an incremental as well. So the cost continued to be a focus and looking at improvement plans, but we’re not seeing predict in that area at this point.
Mike Sabella: Understood. And then maybe just more of a kind of a high level question, there’s – we’re hearing a lot about the Gulf of Mexico so much uncertainty from regulatory perspective. It seems like so far the impact has been pretty minimal, some of these even kind of called towards a pull forward of activity just to get ahead of the regulatory changes and more commodity prices are today. Well, how are you guys thinking about the Gulf of Mexico kind of longer term? How it plays out over time and even if, kind of new development slows, what do you think it all means for some of the more maintenance or anything in services?
Rod Larson: Well, I think actually, and that’s – I liked the way you said that, because I think one of the trade-offs we see is, if we start to see maybe a little bit of a hang up in permitting, it could allow us to do more of the maintenance work. More of the IMR, because, if you’ve got some money to spend, you’ve got a decent commodity price and you can drill a new well, but can you get the most out of the wells you’ve got. That could turn some either change the work. But we actually have good participation in that kind of work. So that could be good for some in the near-term. Obviously any long-term issues in the Gulf of Mexico would be more serious for all of us. But I think that’s one of the things that we’re watching very carefully obviously.
Mike Sabella: Understood. Thanks, everyone.
Rod Larson: Yes. Thank you.
Operator: Your next question comes from the line of Ian Macpherson from Simmons Energy. Your line is open.
Ian Macpherson: Thanks. Good morning, Rod. Congratulations here on the results. And I know it’s been a lot of heavy lifting in 2020, and we’re seeing some fruits.
Rod Larson: Thank you.
Ian Macpherson: Yes. Thanks for all of the detail. When I look at Oceaneering in the breadth of your services and technology, and through the lens of energy transition, to me, it seems much broader than just offshore wind. Obviously, getting less attention than some other areas, but ocean bottom mining [indiscernible] offshore projects for carbon capture and storage. These are all areas that to me seem synergistic with what you already have under your tent. So how are you thinking about these different in markets for energy transition in terms of what you already have and not just replacing your business, but growing your business into new areas?
Rod Larson: No. It’s absolutely a key focus for us. And I think we’re trying to help people understand that some of that – when we talk about our investments, it’s got to be focused on those types of activities. Not just greener industrialization, broadly written definitely not more of the same. We need to make – we need to turn this corner with – and a lot of our customers are doing it. So that’s really helpful. So we play a high – we place a high emphasis on the places that our current customers are going, because we know we’ve got the sales channel there. But also just the things that play into our strengths. Like you said, Subsea mining, it’s still wind with floating offshore, wind is an even bigger deal for us because it’s a deep water play. Some of this repurposing – potentially repurposing platforms to be hydrogen producing that would definitely help our IMDS group because that integrity management of extending the life of these assets as they’re being repurposed. There’s a lot of great opportunities out there. And it’s actually pretty exciting to say, okay, we need to look at all of them, but then we also need to make some really good bets on which one have scale, which will happen in the soonest and which best suited our capabilities.
Ian Macpherson: Yes. That makes sense. I would say, I think it’s probably helped not hurt to shed more light on the granularity of ADTech for the market understanding your business or your evaluation. And when you get to the point of having scale with all these different energy transition opportunities, even if it’s initially total addressable market, and then at some point current revenue run rate, I imagine that would be helpful for your story as well. Do you have some aspiration to put more specificity on those numbers for current business and prospective business maybe during 2021?
Rod Larson: I think we’re going to – we’ll probably be cautious. I like the idea of understanding what the capabilities are. But I think we’re going to be conservative as always that we don’t want to oversell something that doesn’t have the right scale. So I want to make sure that we’re misleading anybody by getting excited about the ideas before they have meaningful financial impact. But the point will take. I think we will try to at least give glimpses of where we’re going and then with all the cautions of how long it takes to get there. But I appreciate the comment.
Ian Macpherson: Great. Thanks Rod.
Rod Larson: Thanks, Ian.
Operator: [Operator Instructions] Your next question comes from the line of Blake Gendron from Wolfe Research. Your line is open.
Blake Gendron: Thanks, good morning. And appreciate all the guidance and the time to hear. I wanted to circle back on to Subsea Robotics. It seems like a pretty flat outlook for the floater account baked into what you’re contemplating for 2021. We’ll see what the back half has in store for potential acceleration there. You talked about already talking about the Gulf of Mexico. I’m just wondering, as we start to get a few more floaters into the water here and the market starts to normalize, whether it matters all that much, if it’s an existing customer of yours or if it’s a new customer. I’m just wondering if it’s existing customers that are adding more rigs, as opposed to additional customers coming into the market what the market share implications could be for you on the robotic side.
Rod Larson: Great question. Obviously, it’s easier if it’s an existing customer, it’s especially easier for already on the rig. And we’ve been talking a lot about trying to stay on the best assets, the ones that are most likely to go to work and we’ve been very effective. So I think that really helps us with the new customers is, they were already here, reduces your mobilization costs and we’ve got a track record established with that rig, which they can tell you that if they’re satisfied with that relationship as well. So just watch kind of the rigs, but that actually plays in our favor because of our position on those high quality assets. So we fight for all of them, as you might expect.
Blake Gendron: That makes sense. And then for my follow-up, I think it would be tough for me to go through the working capital, especially with all the moving pieces in your outlook. So maybe from a free cash conversion perspective from EBITDA perhaps, could you just walk through now that you’ve reoriented and re-jiggered some of your segments. How would you characterize each in terms of high free cash conversion versus low free cash conversion? The reason I’m asking is if we see obviously growth upside and downside in each line that could impact the free cash flow conversion, ultimately moving forward. Thanks.
Alan Curtis: Yes. I think, the way most people have kind of looked at it in the past Blake is going in and looking at EBITDA and kind of how you convert and then going at $185 million as your midpoint. If you look at our CapEx guide, $50 million to $70 million, a midpoint of $60 million, which is consistent, what we did this year. Interest expense cash about $40 million of net interest expense, and then cash taxes midpoint of $37.5 million. So if you look at that, you get to a number of about $47.5 million if you just take the midpoint of all of those. And then we said on our last call that we did expect to generate working capital release associated with some project milestones this year as well. And then that gives us the confidence to kind of give better than the 2023 cash flow. And then one thing that’s our operating that’s coming out. And then we also have the CARES Tax Act that Rod had in his prepared remarks. It’s another $27 million, $28 million that we would anticipate on top of that.
Blake Gendron: Totally understood. So, we have a down for 2021 because you’ve given such good guidance. I’m just wondering for maybe the out years. I mean, I don’t want to lead too much, but if we see ADTech continue to grow in excess of the cyclicality of some of your energy segments, I mean, is this a materially capitalized business for you such that the conversion over time starts to improve?
Alan Curtis: Yes. If you look at both IMDS and ADTech, those do tend to be more or less very light in capital intensity. So those are ones that – we do like the growth prospects and the returns are nice.
Blake Gendron: Very helpful. Thanks, guys.
Operator: There are no further questions. I’ll now turn the call back over to Mr. Rod Larson for closing comments.
Rod Larson: Well, since there are no more questions, I’d like to wrap up by thanking everybody for joining the call. This concludes our fourth quarter and full year 2020 conference call. Have a great day.
Operator: Thank you everybody for joining. You may now disconnect.